Operator: Good morning, everyone, and welcome to Lowe's Companies Third Quarter 2013 Earnings Conference Call. This call is being recorded. [Operator Instructions] Also, supplemental reference slides are available on Lowe's investor relations website, within the investor packet. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call. During this call, management will be using certain non-GAAP financial measures. The supplemental reference slides include information about these measures and a reconciliation to the most directly comparable GAAP financial measures. Statements made during this call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Management's expectations and opinions reflected in those statements are subject to risks, and the company can give no assurance that they will prove to be correct. Those risks are described in the company's earnings release and in its filings with the Securities and Exchange Commission.
 Hosting today's conference will be Mr. Robert Niblock, Chairman, President and Chief Executive Officer; Mr. Greg Bridgeford, Chief Customer Officer; and Mr. Bob Hull, Chief Financial Officer.
 I will now turn the program over to Mr. Niblock for opening remarks. Please go ahead, sir. 
Robert Niblock: Good morning, and thanks for your interest in Lowe's. I'm pleased that we've delivered another solid quarter, driven by balanced performance. Comparable sales for the quarter were 6.2%, once again, driven by balance of ticket and transaction growth. We grew positive comps in 11 of our 12 product categories in the quarter. In fact, outdoor power equipment, the only outlier, was achieving solid positive comps into the last week of the quarter when faced with a substantial headwind from the sales of generators, the result of Superstorm Sandy. We also saw strength in all regions of the country, with double-digit comp performance in Florida, as well as particular strength in California and Arizona.
 Markets for the housing recovery is well under way. And our ProServices business continued to perform well across the country. Our balanced performance is a testament to our enhanced sales and operations planning process, applied to the stronger base we've been building with value improvement, product differentiation and our store labor investment.
 I'm also pleased with our performance in Canada. We have a new leadership team in place, and for the second consecutive quarter, they've delivered double-digit comps in local currency.
 Gross margin expanded 26 basis points. We effectively controlled expenses, and we delivered earnings per share of $0.47 for the quarter, a 34.3% increase to last year's third quarter. Delivering on our commitment to return excess cash to shareholders, in the third quarter, we repurchased $761 million of stock and paid $191 million in dividends.
 As I mentioned, we've enhanced our sales and operations planning effort, a process that is led by our customer experience design team within Greg's organization. The intent is to better understand and anchor around the consumer mindset season-to-season and to change the way we go to market through coordinated planning across channels that binds together every function on our organization. That cross-functional effort has produced a comprehensive and coordinated view of the path ahead, allowing us to leverage resources to drive sales and margin. Greg will provide more details in a few minutes, leveraging our All for Fall campaign as a tangible example of this effort.
 Now looking to consumer landscape going forward. Our most recent consumer sentiment studies suggest that consumers are adopting a more resilient mindset and as a result, embracing a broader perspective. During the recession, consumers had a very focused perspective, the result of household budgetary constraints. Their primary concern was how to adapt to what felt like a free fall. That perspective has started to broaden as consumers have gained a foothold, and we're seeing it play out, strengthening home improvement affinity metrics, an increasing number of installed sales leads, as well as in the strength of large project category performance. So despite the recent government shutdown and falloff in home affordability, the home improvement industry is poised for persisting growth in the fourth quarter. As for our year-to-date performance and outlook for the balance of the year, we've raised our fiscal year 2013 guidance. We expect further acceleration of industry growth next year. Stronger job and income growth, improving household financial conditions and the lagging benefit of the recovery in home buying will be key drivers.
 In closing, our sales and operations planning process, applied to the stronger base we've been building with value improvement, product differentiation and our store labor investment, together with our associates' hard work and continued dedication to serving customers, has improved our level of execution, allowing us to more fully capitalize on market demand in 2013. Thanks again for your interest. And with that, let me turn the call over to Greg. 
Gregory Bridgeford: Thanks, Robert. Good morning, everyone. Our third quarter performance reflected our improving collaboration and execution within a strengthening home improvement market. We performed particularly well in large project categories such as flooring and kitchens and appliances. The strength of these large project categories reflects an emerging willingness among consumers to finally replace items that are worn or outdated or to make significant enhancements to their homes.
 Large project discretionary spending is still far below prerecession peaks, but we are seeing steady improvement. We also performed well in fashion fixtures and paint, as we were well prepared with the right products and advice to assist customers as they spruced up their interiors in advance of the holidays. We're pleased that our improved performance is enabling us to take advantage of home improvement market growth. This is due in large part to our enhanced sales and operations planning process.
 Through this process, we have addressed an opportunity to improve seasonal planning, including the cadence of product introductions, promotions and staffing. We've always planned and executed these seasons in our stores. Previous planning was completed function by function and reconciled to minimize conflicts. Now the process starts earlier and is anchored on the customer mindset for the season.
 The process more thoroughly considers detailed input from all functions to determine resource allocation and it enables Lowe's to provide a consistent message and experience across all selling channels: stores, Lowes.com, contact centers and in-home selling.
 Our recent All for Fall campaign, which ran from late August through the end of October, is a great example how the enhanced process works. Our planning began earlier than it would have under the legacy process. And instead of each function separately developing its own plan to achieve our comp and margin targets, we started with 2 key customer mindsets for the fall.
 First, customers wanted to complete fall maintenance projects, such as prepping the lawn for next spring, planting and sealing windows and doors to save energy during the winter. And then they transitioned to make their homes' interior more inviting to holiday guests. We anchored in the mindsets to determine the projects customers would complete, the key products needed, which of those products should be promoted to drive traffic, what product should be merchandised nearby as project completers, helping to build the basket, how much inventory would be needed, when it would need to be available, and what staffing and training was needed for each store department.
 Then, we staged the introduction of new product and sets based on climatic zone. This planning process, while capturing input from many different teams, was centrally managed by Bob Gfeller's customer experience design team. Bob's team communicated the final plans, both the underlying insights and the implementation steps. This approach drove better understanding of each function's role in the plan's success and consistency of execution across channels. This season's theme, All for Fall, was also clearly and consistently messaged across all media and was used in theme store displays built across merchandising.
 We believe that our particularly strong performance in fall interior project categories, like flooring, kitchens and appliances, fashion fixtures and paint, is evidenced that our coordinated All for Fall campaign resonated well with customers. And remember, this enhanced sales and operations planning process is made more effective by other elements of our transformation undertaken since 2011, including the organizational changes we made last year, our product differentiation initiative, which drives customer engagement through better display techniques and facilitates the smooth execution of seasonal themes and product introductions, and our value improvement initiative, which is providing the right product assortments and inventory depth by location. All these elements work in concert to improve the customer experience.
 Having just mentioned value improvement, I'd like to take a moment to update you in the progress of this initiative. At the end of the third quarter, we had completed resets, representing approximately 80% of our business, and we expect to substantially complete the initial round of resets in 2013.
 As a reminder, the financial benefit of value improvement is greatest once we have reached stabilization, that is, when we are past clearance and selling only new assortments. We estimate that roughly 2/3 of our business was at this stage at the end of the third quarter. Value improvement is captured in our improved comp performance, and we continue to obtain average gross margin rate improvement of roughly 100 basis points for product lines that have reached stabilization.
 Beginning in 2014, value improvement would be fully operationalized and no longer separately tracked as an initiative. Examples of resets completed in the third quarter include core products like thermostats and electrical tools; decor products such as wall sconces and decorative shelving; and seasonal products such as leaf blowers and fireplace gas logs. In addition to the value improvement resets, we are investing to improve the customers' in-store experience. One example of our implementation -- is our implementation of mobile functionality that helps customers locate products in our stores. Customers can create a shopping list and plan their route before arriving at the store. While there, they can check items off the list as they shop, ensuring they get everything they need accurately and efficiently. We'll share further plans to improve our customer experience as we enter 2014.
 Likewise, we continue to invest in inventory. Using intelligence provided by value improvement together with our sales and operations planning process, we are leaning into increasing demand as we bolstered job-like quantities to benefit pros, increase overall in-stock service levels and present compelling end cap displays. We expect that these incremental inventory investments will be completed this year, and we'll be positioned to achieve greater inventory productivity.
 We've also invested in additional weekday labor hours to improve close rates. As a reminder, we added an average of approximately 150 hours per week to the staffing model for nearly 2/3 of our stores. These hours were allocated to interior areas of the store supporting key fall projects identified within the sales and operations planning process. While we realized improving benefits from this program in the third quarter, this incremental investment caused payroll deleverage, as expected at this point in the program.
 We continue to monitor this initiative's performance and will make adjustments as necessary. Finally, I am pleased to share that through the first 3 quarters, approximately 87% of our U.S. stores have qualified for a service and sales employee initiative, or SSEI, payment. As a reminder, SSEI is our profit-sharing program for hourly associates. Thank you for your interest in Lowe's. And I'll now turn it over to Bob. 
Robert Hull: Thanks, Greg, and good morning, everyone. Sales for the third quarter were $13 billion, which was an increase of 7.3%. Total customer transactions increased 5.7%, and total average ticket increased 1.5% to $64.07.
 As you know, we acquired 72 Orchard Supply Hardware stores on August 30. Orchard's smaller format neighborhood hardware stores are located in densely populated markets and offer a product selection focused on paint, repair and dockyard categories. As a result, Orchard stores had more transactions per square foot but fewer per store and a lower average ticket than a traditional Lowe's store. So while Orchard aided total sales by approximately 75 basis points and added roughly 175 basis points to our transaction growth, it negatively impacted average ticket growth by almost 100 basis points.
 The Orchard stores are considered non-comp and will be included in our comp sales calculation after the anniversary of the acquisition in Q3 2014. Comp sales were 6.2% for the quarter. Looking at monthly trends, comps were 7.3% in August, 5.6% in September and 5.8% in October.
 For the quarter, comp transactions increased 3.6%, and comp average ticket increased 2.5%. As Robert noted, our sales and operations planning process, applied to a stronger base we've been building with value improvement, product differentiation and our store labor investment, allowed us to more fully capitalize on market demand. Additionally, inflation added roughly 25 basis points to the comps, while last year's hurricanes, Sandy and Isaac, were a headwind of approximately 45 basis points.
 Year-to-date sales of $41.8 billion were up 5.8% versus the first 3 quarters of 2012, driven by a 5.1% increase in comp sales, new stores and the acquisition of Orchard Supply Hardware.
 Gross margin for the third quarter was 34.58% of sales, which increased 26 basis points over Q3 last year. The biggest driver of the increase was value improvement, which helped gross margin by 52 basis points. Our estimate of the improvement net the clearance impact of the resets against the benefit of the stabilized lines. This improvement was offset somewhat by the following items.
 First, our proprietary credit value proposition negatively impacted gross margin by 14 basis points. This is driven by higher penetration of our proprietary credit program, which reached 26.6% of sales, an increase of 145 basis points over Q3 2012. The negative margin impact was more than offset by expenses leverage associated with the program, which I will comment on in a moment.
 Also, competitive pressures in the market impacted the level of appliance promotions, which reduced gross margin by an estimated 10 basis points. Lastly, the mix of products sold modestly hurt gross margin in the quarter.
 Year-to-date gross margin of 34.57% of sales is an increase of 27 basis points over the same period last year. SG&A for Q3 was 24.56% of sales, which leveraged 47 basis points. In the quarter, we incurred long-lived asset impairment and discontinued project expenses of $10 million. This compares to $52 million in similar charges last year, resulting in 35 basis points of SG&A leverage in this year's third quarter.
 Risk insurance leveraged 35 basis points in the quarter. We are self-insured for certain claims related to workers' comp and general liabilities. Due to the duration of the claims, we discount our liability. As discussed in Q3 of last year, we reduced the discount rate applied to incurred but not reported claims, which increased Q3 2012's insurance expense by $33 million and was the primary driver of expense leverage this year [ph].
 Also, we experienced 31 basis points of leverage associated with our proprietary credit program. The leverage was driven primarily by lower operating costs, including costs associated with promotional financing. Contract labor leveraged 20 basis points, as we cycled against an elevated level of spending for information technology projects in Q3 last year. These items were somewhat offset by incentive compensation expense, which deleveraged 41 basis points as a result of higher expected attainment levels relative to last year.
 During the quarter, store payrolls deleveraged 16 basis points. Payroll dollars were up approximately 9% versus Q3 last year, which includes the additional weekday hours investment. Resets and remerchandising expense deleveraged 16 basis points, driven by the efforts Greg described to improve customer experiences.
 Year-to-date, SG&A was 23.52% of sales, which leveraged 39 basis points versus the same period last year. Depreciation for the quarter was $373 million, which was 2.88% of sales and leveraged 20 basis points compared with last year's third quarter as a result of the sales growth. In Q3, earnings before interest and taxes, or EBIT, increased 93 basis points to 7.14% of sales. Year-to-date EBIT was 8.43% of sales, which was 85 basis points higher than the same period last year.
 For the quarter, interest expense was $125 million and deleveraged 2 basis points to last year as a percent of sales. Total expenses for Q3 were 28.41% of sales and leveraged 65 basis points. Year-to-date total expenses were 26.97% of sales and leveraged 54 basis points versus last year. Pretax earnings for the quarter were 6.17% of sales, the effective tax rate was 37.6%, which was essentially flat to last year. Net earnings were $499 million for the quarter, an increase of 26% over Q3 2012.
 Earnings per share of $0.47 for the third quarter were up 34.3% to last year. The $0.47 were roughly $0.05 per share higher than our expectations. Year-to-date earnings per share of $1.84 represents a 29.6% increase over the same period last year. Now, to a few items on the balance sheet, starting with assets. Cash and cash equivalents balance at the end of the quarter was $1.1 billion. Our third quarter inventory balance of $9.6 billion increased $598 million, or 6.7%, versus Q3 last year. The increase was driven by higher inventory levels to support demand and the addition of 72 Orchard Supply stores.
 Inventory turnover, calculated by taking a trailing 4 quarters cost of sales divided by average inventory for the last 5 quarters, was 3.71, a decrease of 4 basis points versus last year. Return on assets, determined using a trailing 4 quarters earnings divided by average assets for the last 5 quarters, increased 98 basis points to 6.72%.
 Moving on to the liabilities section of the balance sheet. Accounts payable of $5.8 billion represented a 6.6% increase over Q3 last year, which was consistent with the increase in inventory. In the third quarter, we issued $1 billion of unsecured bonds. The bonds were split between 10- and 30-year issuances, with a weighted average interest rate of 4.44%. At the end of the third quarter, the lease adjusted debt to EBITDAR was 2.17x. Return on invested capital, calculated using the trailing 4 quarters earnings plus tax adjusted interest divided by average debt and equity over the last 5 quarters, increased 187 basis points for the quarter to 11.26%.
 Looking at the statement of cash flows. Cash flow from operations was nearly $3.9 billion, an increase of $351 million over last year, largely due to the earnings growth. Capital expenditures were $610 million, a 36% decrease from last year. As a result, year-to-date free cash flow of nearly $3.3 billion was 27% higher than last year. In August, we entered into a $500 million accelerated share repurchase agreement. At this point, we expect to receive 10.5 million shares, but the ultimate number of shares will be determined upon completion of the program in the fourth quarter.
 Also in the third quarter, we repurchased 5.5 million additional shares for $261 million through the open market. For the quarter, we repurchased a total of $761 million. We have approximately $2.2 billion remaining on our share repurchase authorization.
 Looking ahead, I'd like to address several items detailed in Lowe's business outlook. Based on our year-to-date performance and our outlook for the fourth quarter, we've raised our 2013 guidance for the second time this year.
 We expect total sales to increase by approximately 6%, primarily driven by comp sales increase of approximately 5%. We expect to open 9 stores for the year. We're anticipating an EBIT increase of approximately 75 basis points.
 The effective tax rate is expected to be approximately 37.8%. As a result of these inputs, we're expecting earnings per share of approximately $2.15, which represents an increase of 27% over 2012. For the year, we are forecasting cash flow from operations to be approximately $3.8 billion, our forecast for capital expenditures is approximately $900 million. This results in estimated free cash flow of $2.9 billion for 2013. Our guidance assumes approximately $3.7 billion in share repurchases for 2013. For the year, we expect that lease adjusted debt to EBITDAR will be at or below 2.25x. Regina, we are now ready for questions. 
Operator: [Operator Instructions] Our first question will come from the line of Scot Ciccarelli with RBC Capital Markets. 
Scot Ciccarelli: Bob, can you give us any more details on what the impact that Orchard had on the quarter, specifically on gross margin and SG&A? And I know you listed out some items already on SG&A, but I'm particularly curious on that line item. 
Robert Hull: Scot, so Orchard had relative modest impact. I gave you the sales impact, which is 75 basis points. Orchard's gross margin is modestly higher than the company's. But remember, we only had 2 months of activity in the 3-month quarter. From an SG&A perspective, not much impact other than we had roughly 5 basis points of deal-related expenses included in the quarter. That, obviously, was included in our guidance for the quarter but would not have been included in Q3 last year. 
Scot Ciccarelli: And then the compensation that you noted, the 41 basis points, that's executive compensation? Is that separate from the incentive comps of the stores? Can you just give us more clarity on that and kind of the way to think about that part going forward? 
Robert Hull: So, Scot, that is all incentive compensation. That would include the SSEI that Greg spoke of that is entirely store-based, that would be the store manager program, that would be DCs and that would be the corporate office. By far, the largest share of that expense is stores. Also, recognize that there's some timing involved in the accruals for incentive compensation. So while it's up 41 basis points to last year in the third quarter, it's only supposed -- expected to be up roughly 15 basis points to last year for the year. So you have to think about the rate of accrual this year versus last year. But it did have a pronounced impact in Q3 this year. 
Operator: Your next question comes from the line of Dennis McGill with Zelman & Associates. 
Dennis McGill: I was wondering if you could just talk about how you're thinking about the pace of growth transitioning from 3Q into 4Q, if you take the approximate 6% comps this quarter and then the pace down to, I guess, 4-ish implied by the guidance. 
Robert Niblock: Well, Dennis, I'll start. Certainly, there's a couple of things that we spoke about. Certainly, cycling against Hurricane -- Superstorm Sandy last year and the sales associated with that. So that's, obviously, a headwind in the quarter. As you know, in most years, the fourth quarter's probably our most weather-susceptible quarter. And so, certainly not knowing what the weather is going to hold last year, if you remember, the month of January had extremely favorable weather. So we are cycling up against, even if it's not unfavorable weather this year, we are cycling against a fairly favorable weather last year. So we took all of that into account. And so it's just a case of always wanting to be somewhat conservative closer to the end, knowing that it's out there. So I think all of those would be implied into the top line in the comp guidance, which was in our updated outlook. 
Dennis McGill: Okay. And just based on that last comment of conservatism, is it fair to say that November so far is running above that guidance? 
Robert Niblock: Yes, I don't think you would sense there, Dennis, that we feel more comfortable with our outlook for the balance of the year. 
Dennis McGill: Okay. And then just secondly, can you elaborate a little bit more on the appliance promotion headwind that you talked about in the quarter? 
Robert Niblock: Greg? 
Gregory Bridgeford: Yes, Dennis. This is Greg Bridgeford. I'll be happy to elaborate on that. It is a -- relative to larger-ticket categories and appliances is the key one. It is more of a promotional environment out there, and there's a lot of media out there. And we've indicated early on in the year, we're going to drive it as what we believe to be an effective blend of traffic-driving promotional activities and especially through the sales and operations planning process, make sure we are coordinated across the channels and across the messages we were sending, and especially in store. And that's what we did in Q3. It was as promotional as we expected it to be, and there is a -- this is a peak period for appliance sales pre-Thanksgiving. So we did see -- we performed well in appliances, one of our best-performing categories. And we're excited, the addition of LG this year has meant a lot to be a leader in innovation in appliances, with both LG and Samsung promoted and highlighted on our floors. 
Operator: Our next question will come from the line of Mike Baker with Deutsche Bank. 
Michael Baker: So you talked about the large-product discretionary sales still being below past peak. Can you talk about -- can you sort of quantify that, where you are versus past peak and also the trough after the recession? And I didn't hear -- maybe I missed it, but I didn't hear you talk about growth in tickets less than $50 or greater than $500 as you sometimes talk about. 
Robert Hull: Mike, we have those figures, and we'll come back to that. But let me start by giving you some context. We've done that 2 by 2 that you've seen so often, about small ticket/large ticket, nondiscretionary/discretionary. And in the discretionary large ticket category, it really hasn't moved appreciably. We are seeing in sales some movement, but we think it's from a -- it's relatively a small segment of the market right now that has the income that feels confident to spend on some discretionary categories. But overall, we still think it's a slow build because as we've tracked this through the last 6 years, we're still seeing that large discretionary spend inch up as opposed to make some significant leaps. Bob, do you want to talk about that, too? 
Robert Niblock: I got it. Mike, this is Robert. On the slides that we provided for you, that detail is in those slides, on 2 of the slides, but I'll give it to you. Less than $50, up 3%; $50 to $500, up 5.6; and greater than $500, up 8.6%. 
Michael Baker: I haven't seen the slides yet. The -- one other question, just this quarter, there were some incentive comp and other things. But can you remind us the kind of comp that you feel like you need to leverage your SG&A, excluding all onetimers that show up? 
Robert Hull: So like we've talked about, generally speaking, we need a one comp to get to a flattish and then beyond that 1 point of comp drives roughly 20 basis points of EBIT growth. Obviously, my response to Scot's question, I mentioned there is some fluctuations quarter-to-quarter in how incentive compensation's accrued relative to last year. So that's a pronounced impact this year. Also, in both Greg and my comments, we talked about reset and remerch activity. Think about that as preparing for next year's sales. We're including -- that included resets and customer experiences separate ad events since Q4 and beyond. So that's not necessarily a periodic expense, more of an investment for future sales. 
Michael Baker: But generally, we can keep that rule of thumb for -- on an annual basis. 
Robert Hull: Generally speaking, yes. 
Operator: Our next question will come from the line of Peter Benedict with Robert Baird. 
Peter Benedict: Just one thing on the third quarter. You said that the earnings were $0.05 better than your plan. I assume that the sales were favorable. But can you break it down a little bit, how much of it was sales and then gross margins, presumably a little less than you had anticipated, just a little more color around that. 
Robert Hull: Sure, Pete. This is Bob. Our sales were roughly $300 million higher than our implied guidance for the third quarter. The margin rate was modestly worse, largely due to the impact of the credit value proposition. The performance and the customer take on the program continues to be above our expectations, which is a good thing. As I noted, we had more than offset by lower promotional financing costs within SG&A. And then we only added roughly about $20 million of SG&A higher than our implied guidance. So that really drove the $0.05 beat. 
Peter Benedict: Okay, that's helpful, Bob. And then, a bigger picture question. Just trying to understand your current store portfolio and how it compares to how the company looked back in 2005, when you guys had your peak sales productivity and operating margins. I mean, you've added about 500 stores since then. Can you help us understand that bucket of stores and how they're performing right now relative to the rest of the business? Are they in line? Are they noticeably better? Are they lagging? What can you tell us about that? 
Robert Hull: So relative to 2005, our average sales since 2005 were roughly $37 million. The traditional big-box stores this year will do just a hair below $30 million. So to a degree, all boats have fallen based on what happened to housing in prior years. As we think about store performance, age of store is less of a predictor. It's more about location of the store and the local market performance and the state of housing. Yes, there were some stores that were opened in the 2006, '07, '08 timetable that underperformed. Some of those closed in 2011. But as we culled the pipeline and reduced the number of new store openings, the productivity of those stores has been really, really positive over the past couple of years. 
Operator: Your next question comes from the line of Joe Feldman with Telsey Advisory Group. 
Joseph Feldman: I wanted to get a little more color on the Pro customer. I know you mentioned the ProServices were solid. But can you just give any more color on maybe how the trends were, percent of sales, any incremental changes that you're noticing, and maybe what they're buying, are they making bigger purchases on the trips or not? 
Gregory Bridgeford: Joe, I'll start, and then I know Rick is going to add in. We've seen -- as we've mentioned, we've seen that particular segment of our customer base outperform any other segment. And that is intuitive, given the strength of commercial sales in the marketplace today under -- as you look at any third-party research. We have a number of Pro initiatives going on. I'll start in merchandising. We've actually restructured our merchandising group to make sure that we have -- are providing relevant commercial assortments, project-based assortments, that both have the breadth of product and the depth of product that we needed. Thus, the inventory investment we made earlier this year. It was targeted to what we call the center of our store, which is rough plumbing, rough electrical, hardware, power tool accessories, some of those categories that are key to commercial customer supply. Rick may want to add in some comments on Pro. 
Rick Damron: Yes, absolutely. When you look at this, Joe, when you look at our Pro sales, we had strong performance across all operating divisions. And as Greg mentioned, the sales of Pro continue to outpace our DIY consumer, and did so again in this quarter. Our average ticket increased by $2.38 year-over-year, driven primarily by ticket size and transaction. But ticket was the primary grower/driver of the performance, growing at 8.2 -- 8.9%, when you look at it from that way. We saw traffic increase in all ticket buckets, with the greatest amount being driven in the medium-range ticket growth area. 
Joseph Feldman: Got it. That's great. And then another kind of similar question. I know you mentioned that all regions were positive. I was kind of curious. Again, if you kind of look at what was selling in the various regions, are you seeing any big differences beyond the normal, like maybe the housing markets that are recovering a little faster at the moment, is what they're spending on different than some of the slower-recovering markets? 
Robert Niblock: Yes, this is Robert, Joe. I mean, we're seeing, obviously, as we said, widespread strength across the country. Certainly, I've talked about California, Florida, Arizona, areas where we're seeing housing recover. As we've said is that -- one of -- we feel good about now the recovery is taking place out there in housing. We expect that to continue through the fourth quarter and obviously into 2014. And one of the big drivers is where home values are increasing, consumers are feeling better about moving gradually into larger and larger projects. So whether that's -- in some markets, that may be windows, when they're doing work there. At other times, it may be refreshing the inside of the home, the bath, those types of things. Obviously, we -- how I end up a lot of the categories, when you think about flooring, kitchen appliances, paints, all of those being above average for the company where you're seeing the consumer reinvest in the home. So we saw a nice balanced strength across the country, and we expect that to continue as housing values continue to recover. 
Gregory Bridgeford: Joe, this is Greg. To layer on to Robert's comments, where we've seen some particular category strengths in some of the areas where we're -- where housing is on quite an upturn is in the fashion fixtures category in kitchens and appliances. And it's really interesting because it's more of a refresh than a remodel activity. So you're seeing some delayed -- in some cases, it's projects that may have been delayed for 4 years in particular parts of the country where housing values have been on a rise for the last 18 months and the last 12 months. So we're -- our focus is on bath refresh and kitchens and appliances, where the opportunity is available. And that's -- that did very well for us in Q3. 
Joseph Feldman: Perfect. That's really helpful. And if I can indulge one more question. The buyback trend seems a little bit slower than, I think, what we had initially thought. Any color you can provide there? 
Robert Hull: No, I think, Joe, coming into the year we said the buyback would be roughly pro rata across the 4 quarters. It's modestly lower in the third quarter, but we're still targeting $3.7 billion for the year, which is up $100 million from our thinking 90 days ago. 
Operator: Your next question comes from the line of Budd Bugatch with Raymond James. 
Budd Bugatch: I guess I have 2 questions. First, on Orchard Supply, what's implied in the guidance for Q4 and will it be accretive? Or how do you think about that? 
Robert Niblock: I'll start just with overall. Just remind me and I'll have Budd, then I'll have Bob jump into the guidance. As you know, we bought assets at 72 locations. We didn't buy the entire company. So coming out of bankruptcy, we bought the assets of 72 locations. That's why they're not comped. We don't have prior districts built in the numbers. So it's just from the performance of those 72 locations from the August 30 date going forward. And so, Bob, what's built into our guidance? 
Robert Hull: Yes, I think, as we think about fourth quarter, Budd, should add about $125 million in sales or about 110 basis points to sales growth. For the year, Orchard is going to be modestly dilutive, about $0.01 per share, which does include the deal cost I mentioned previously. 
Budd Bugatch: And just on that, just making sure, what was it in this quarter? Was it the $0.01 in this quarter or would the $0.01 be in the fourth quarter, or is it a half and half? 
Robert Hull: Half and half. 
Budd Bugatch: Okay. And my second question really goes to appliances. You talked about 10 basis points of margin degradation. Appliances are about 10% of your overall business, if it's still true as it was in 2012. That implies that the overall appliance margin was down about 100 basis points on the appliance sales. What's the outlook for Q4? How does that impact overall gross margin? Are you going to get any help from the vendors? Maybe you can go into a little detail of what's implied in your guidance and how we should think about all that. 
Gregory Bridgeford: Yes, Budd, I'll start. This is Greg. The focus on our work in Q4 is that -- is to make sure that we continue the sales momentum. And I think we're always adjusting the balance of promotional activity from ticket to traffic-driving and basket-building. And that's the work of that process I talked about today called sales and ops planning. So as we move past Thanksgiving, we move into seasonal categories. We move into gift-giving opportunities, like tools and hardware. We move into home fashions. We move into cleaning and home organization. So we're in a -- we have to drive against those occasions appropriately, and we're watching that balance very, very carefully. We're continuing to work on value improvement, which we're moving further down the cycle, virtually completing all the resets at the end of this quarter and moving to stabilization on a significantly larger portion of the business. We have resets going on in value improvement in Q4 because we have capacity to reset, particularly in December. So when you put that body of work together, we're -- we recognize that there is opportunity in the appliance category right now. We're trying to manage it appropriately through sales and ops planning. We also have lots of other opportunities on the occasion, and we will carefully manage and lead the blend of that business. 
Operator: Our next question will come from the line of Matthew Fassler with Goldman Sachs. 
Matthew Fassler: I'd like to start out by asking about the labor investment and just get a sense from you as to the return on that labor investment that you think you extracted this quarter and how that compares to your big picture expectations for that program. 
Robert Niblock: Matt, I'll start just a little bit and turn it over. Obviously, everything we're doing, we're talking about value improvement, product differentiation, labor, all of those things, I think, come together to see some of what you're seeing in the comp performance that we've had out there. We're starting to see an improvement on our close rates. So I think the investments are, I think, resonating with the consumer. Certainly, as you know, our average customer doesn't shop every day. So when we went into this, we knew with the incremental labor investments that it is something that we recognize the customer would build over time. So -- and I think we talked about, in prior calls, that it takes a little while to get the jobs filled with the right people, ensure with everybody that they work permanent weekday positions. We feel really good about where we're at now, and we're starting to see the benefits of that. But no, we knew it would be a drag at this point, because, as we said, we're making an investment, really, to build that experience that will build over time, so -- Rick? 
Rick Damron: Absolutely, Matt, one of the things, I think, that we learned as we move from the first half of the year into the back half of the year is how we allocate those hours across the store. We communicated in the initial rollout that they were used as flex moving across the store, interacting with customers throughout. As part of the sales and operation planning focus during the second half of the year, we've allocated those hours into the departments, as Greg highlighted, that we expect to drive incremental traffic to. So we're redeploying them more specifically into areas, therefore being able to provide greater depth of training into the areas that we'll be focused in this quarter. As Robert highlighted, the hours investment along with value improvement, product differentiation go-to allow us to capitalize on the market that is being driven in the marketplace. We went into the second quarter, we talked about gaining momentum coming out of the quarter. Pleased to say that momentum continued throughout Q3 and drove approximately 200 basis points of close rate improvement in Q3 compared to last year. 
Matthew Fassler: If I could just follow up, I guess, on expenses more broadly. The incremental operating margin that you drove this quarter, clearly, I think it was a bit lighter than where the Street was. I guess many of us looked at the numbers excluding the impairments last year. I know those are real dollars, but we don't really build them into our base. And I guess, the labor investment and the incentive comp were probably the 2 outliers, I would guess, to Street numbers. So, Bob, if you think about the -- whether you view this quarter as sort of an outlier from an expense growth perspective or whether this is sort of the run rate that you think we should consider, would be very helpful color for us for the go-forward. 
Robert Hull: Sure, Matt. So you mentioned potential outliers from where the Street were, and 2 items you mentioned were incentive comp and labor investments. The third item I would give you is the reset and remerchandising expense. So as we think about our business, they're not all periodic expenses. As Robert mentioned, with the labor hour investment, just because you add somebody in a department today doesn't mean the customer shows up the same day and they're able to interact with that associate. So some things do take time. As I mentioned with the incentive comp, it's lumpy based on the rate of accrual going forward. I think, Matt, in prior conversations, a lot of discussion regarding Lowe's ability to capitalize on the market, how well are we doing from a comp sales perspective, how well are we doing from a market share perspective. For the first 3 quarters of 2013, we are growing with the market, something we couldn't have said in prior years. We feel good about that. As we think about investing in our business, we expect to generate returns on these investments, whether it's SG&A or inventory, it just doesn't show up in the same quarter. 
Matthew Fassler: And consequently, the dollar growth rate, would you expect it -- I mean, clearly, incentive comp is lumpy, but as you think about the end impact for labor for the next couple of quarters, should that persist and just sort of wait for the business to build? 
Robert Hull: The labor will persist until we cycle the investment last year. As was described previously, as we think about the training and classification and positioning of those employees to better match up with the seasons and the sales and ops planning process to ensure that their positioned for how likely to incent with customers and generate a return. 
Operator: Your next question will come from the line of Eric Bosshard with Cleveland Research. 
Eric Bosshard: Two questions. First of all, I think within the numbers that, if I remember right, the October improved a little bit from September. And I know October is when the Sandy compare began. I'm just wondering if you could give a little bit more color on the month of October. In light of that, were there other areas that improved in October that might be sustainable? Or was more of your Sandy influence showing up later into November? 
Robert Hull: Eric, relative to last year, we did have Sandy improvement, sales associated with Sandy towards the tail end of Q3 last year, obviously, all hitting in October, not a substantial amount of money. As I think about the rate of growth, I think we saw some improvement in some of the bigger-ticket categories in October relative to September. And Greg can probably... 
Gregory Bridgeford: Yes, we did, Eric. And that was -- one of the keys was that some of the big-ticket categories related to prepping home for the holidays began to kick in, in October, real strength in flooring, strength in kitchens, strength in appliances, strength in fashion fixtures and, most specifically, fashion bath. So those were -- that was some of the impact that you saw sequentially from September to October. 
Eric Bosshard: Great. And then, secondly, if you could give us a bit of an update of, as you're working through the line review process and wrapping that up here shortly, what the next phase of that might look like, how that is continuing or evolving from the first effort, given the pace of what you're doing in those areas as we move into '14 and beyond relative to what you've experienced over the last 12 or 18 months. 
Gregory Bridgeford: Yes, absolutely, Eric. The -- what you're seeing in the fourth quarter now is a completion of the resets of what we would call the first round of accelerated product line reviews or value improvement category programs. In some categories, we are actually in round 3. So this is an ongoing process. But we have taken a step back, and we did this beginning 9 months ago. And we reset kind of the cadence of the process about 6 months ago and said, "Here's the categories that we're going to go through full line reviews on at least an annual basis." And as you know, in some categories, appliances, for example, because of new product introductions and staying on top of innovations, we actually have to review categories, in some cases, more than annually on a cadence. In other categories, we said we're going to review those on a mini basis in excess of more than -- in excess of a year, 18 months or 24-month basis. And in some categories, we're going to go in and do some tweaks, some business reviews in those categories. On kind of a constant basis, we probably could be on a 3-year rotation. So we really stratified the 400 categories into what's appropriate for those categories and where -- and but again, it's an ongoing process. The key is that if you -- and we all tend to forget the focus of why we're doing it. We're doing it to create values from using the insights and the information that customers give us about the buying occasions that these categories are represented in and to drive better line design, and therefore, drive better productivity out of that. So that's helped us quantify what's the timing of each of these. Does that make sense? 
Eric Bosshard: Yes, and within the timing -- I appreciate that. Within the strategy in implementing or executing this, is it fair to say that similar to sort of the earlier part of today's discussion, that it's a little bit more balanced than achieving market share progress in comps or with margin and inventory progress? How is the balance of that different in the second or third version of this relative to the first? 
Gregory Bridgeford: I think it is. What we're actually trying to drive through the ongoing improvements to this category that Mike Jones is leading in merchandising, is to go back and make sure we've utilized the consumer insights and research. Because line design, as the primary focus of, we think has -- we've hit the marks in a fairly large percentage of the reviews, but we still have some improvements to make there. If we do that, we get that better balance. We get better productivity out of the lines. We do it each share, but we achieve better, what I would call, operating margin flow-through. 
Robert Hull: This is Bob. Just 2 points back to your first question on monthly comp progression, looking back at Q3 last year, we did a 3.4% in September and a 1.3% in October. It's a little bit easier comparison in October. As it relates to storm activity, in Q3 last year, we saw sales associated with Isaac and Sandy in Q3 '12, roughly offset by Irene sales in Q3 '11. So storm activity was relatively flat for Q3 last year. 
Operator: Your final question will come from the line of Christopher Horvers with JPMorgan. 
Christopher Horvers: Two questions. So big picture, you mentioned the 20 basis points of EBIT margin expansion per point of comp above 1. But to your point, Bob, as you think about next year, you get the major reset expenses behind you. You're going to lap the incremental labor that you put into the stores. And there should still be a lag benefit from -- to the gross margin line from the reset activity. So shouldn't that 20-bp rule look a bit better as we get this stuff behind us? 
Robert Hull: As we think about 2014, and we'll certainly provide a lot more color on 2014 on our Q4 call. As we think about what's next beyond value improvement and the works of Bob Gfellar's organization in the sales and ops planning process, there will be some other investments in customer experience design. Some of that is taking place in Q4 of this year. And then the second thing, as we think about 2014, Chris, is our prior outlook regarding '13, '14 and '15 did not have any expenses associated with the Affordable Care Act. We have open enrollment at this point in time, as we think about the individual mandate, and the number of employees that are on our insurance plans in '14 relative to '13 is still unknown. So we'll certainly provide more color on that and other initiatives on the Q4 call. 
Christopher Horvers: And then more as it relates to the fourth quarter. Just to check my math, based on what you said about the incentive comp pressure for the year, about 15 basis points, it looks like -- does that imply about 5 basis points or so of incentive comp accrual pressure year-to-year in the fourth quarter? And should the reset benefit to gross margin improve sequentially, given the number of categories through stabilization? 
Robert Hull: So yes, as we think about the reset benefit, that should be greater because greater lines stabilize in Q4 relative to Q3. Having said that, Greg noted, this is peak time for appliances. When we think about Black Friday morphing into Black November, there's some risk on the margin line there that we're proceeding with caution. As it relates to expenses, Chris, I'll give you some color on pushes and pulls for expenses for Q4. The biggest delever is reset and remerchandising. Call that 40 basis points; risk insurance about 20 basis points, largely because we had huge favorability Q4 last year; credit about 20 basis points. Again, huge favorability Q4 of '12. And then similar deleverage in operating salaries because of labor hour investment offset by incentive comp leverage of roughly 10; some contract labor impairment; and legal benefits in the 5- and 10-basis-point range. 
Robert Niblock: Thanks again for your continued interest in Lowe's. We look forward to speaking with you again when we report our fourth quarter 2013 results on Wednesday, February 26. Have a great day. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.